Manfred Knof: Good morning, and welcome to our Earnings Call for the second quarter of this year. I will provide you with the overview of the strategic and financial development before Bettina will guide you through the details of the financial performance. Overall, we have made good progress in the strategic transformation of the bank and reached a solid operating result of €570 million in the first half of the year. Q2 stand alone came in with an operating result of 32 million. It benefits from the benign risk result and from our robust client facing business, but has been burdened by a significant one-off items. I would like to stress that these one-off burdens and also the booking of further 50 [ph] €511 million restructuring charges have not impacted our sustained strong CET1 ratio of 13.4%. Thus, we can confirm our financial outlook for 2021 including a slightly more positive view on our risk results and capital. Also, our cost guidance of €6.5 billion for 2021 is operationally still valid. On top however, we have to account for €200 million extraordinary writes-off, on which we have released an ad hoc statement two weeks ago. On the strategic transformation of the bank, we have made good progress in line with our plan and effectively tackled upcoming issues. Let me be crisp and clear. The execution of our strategy is on track. And I make sure that any roadblocks are removed ASAP, with the Federal Court ruling on pricing changes or the malfunctioning of a large project. This leads me to the next slide and recent key topics on our management agenda. Firstly, we have reached further key milestones in the transformation. With the appointment of 300 L2 managers, we have reduced the number of positions by 27% and completed the selection of the senior management team. This team is going to be the backbone for the transformation of Commerzbank, and I'm looking forward to working together with this group. Furthermore, we have already concluded almost 50% of the detailed negotiations with the Works Council and the recently started offering of over 1700 voluntary redundancies shows good response from employees. Secondly, we have to handle the Federal court ruling on fee changes, which basically declared recent pricing actions as invalid. We immediately set up a task force to tackle the issue. On the one hand, we have to identify the amount of reimbursements to customers and book the provision of €66 million. On the other hand, we have to define a process going forward that ensures the continued roll out of our plan pricing measures. This includes the solicitation of active consents, with the current pricing for products, such as current accounts or securities accounts. We expect some temporary revenue losses in the next month. But we are confident to compensate this shortfall and keep our revenue guidance. Thirdly, we stopped the outsourcing projects for securities settlement. The implementation risk would have been too high and the benefits too small in a market environment with strongly increasing transaction volumes, providing internal economies of scale. This decision stands for the clear focus on the transformation of our bank. Such a large project that does bottom line not contribute to the strategic plan must not eat up scarce resources or put it this way. We take necessary decisions even if they are painful. There is no way of muddling through. Our transformation towards our targets in 2024 requires strict focus and clear decisions. Now, let's move on with review on all four cornerstones of our strategy. Regarding digitalization, I would like to highlight that the team is really fast in delivering new functionalities. We have added 10 new major client features in the quarter. Especially the enhancement of our mobile app stands out, which now allows for the mobile purchase of security savings plans, including ETS. This will further support the strong growth in this product category. On sustainability, we have accelerated our efforts to seize the opportunities from the increasing client demand for sustainable products. After roughly 100 billion at the end of last year, volumes sustained at 141 billion as of Q2. Based on that, we feel very comfortable to reach our target of 300 billion by 2025. On this slide, you can also see the drill down of our target with corporate clients, accounting for 200 and private and small business customers accounting 400 billion in sustainable business volume. Overall, it is of utmost importance that we support our corporate clients in their transformation process. We believe it is better to finance a path towards a greener economy rather than withdrawing from certain clients right from the beginning. In private clients, let me point out that since March this year, more than 30 billion of securities volumes qualify as sustainable products, according to the sustainable finance disclosure regulation. Finally, I would like to provide you with an update on the development of our operational transformation KPIs. In corporate clients, our efforts to increase RWA efficiencies to further results. In the second quarter, we have reduced client business in the low yielding bucket from 33% to 31%. Here, our strict management approach using list of single client names pays off. We have reduced the portfolio in the low yielding bucket by 2.2 billion RWAs or 65 client groups respectively. And PSBC accelerate the closure of branches by additional 40 branches this year. Hence, we will have 550 branches and three remote advisory centers when we start into 2022 and close the further 100 branches in the course of next year. Furthermore, our business volumes are growing ahead of plan. And the anticipated customer trend from branch closures and pricing initiatives is less pronounced than expected. But of course, it is still early days in the transformation of the business model. And it remains to be seen how the term evolves. In the redundancy program, we have also made further progress from the plan cost reduction of overall to 10,000 FTEs, 3400 are already off payroll or has signed the contract to leave. On the other hand, we are hiring 2500, FTEs and reassuring thence for a large share of this number. Our location in Sofia is now fully operational, and a step-by-step taking over tasks for much more expensive external consultants in Germany. All-in-all, our transformation is well on track. And we are completely focused on the further execution of the strategy. Stumbling blocks will be tackled and removed to make sure that we head towards our targets. Let me now hand over to Bettina who will provide you with a more granular look into the financials of the second quarter.
Bettina Orlopp: Thank you, Manfred and also good morning from my side. I will walk you through the financials before we move into Q&A. Let's start with the overview on slide 8. As Manfred already stated, we had a good performance in our customer businesses in line with our expectations. The underlying net interest income is unchanged to the first quarter. Commission income continues to good trend was plus 7% compared to Q2 2020. This is testament to the viability of our business model. The risk was odd came in at the low €87 million. This reflects the high asset quality of our portfolio. And I want to stress that we did not benefit from the release of our COVID related top level adjustment. It remains unchanged at €495 million. Costs have been managed in line with our targets with the exception of the extraordinary Vita. This write-off has been one of several, one of items in the quarter that have reduced operating results to 32 million. I will cover these in more detail later on. They also booked the vast majority of remaining restructuring charges in the quarter. Hence, the net result amounts to negative €527 million. And we maintained our strong capital ratio, which stood unchanged at 13.4% at the end of the quarter. Following the issuance of an 81 instrument in June, the buffer to MDA increased further to nearly 400 basis points. Now, let's briefly look at Slide 9 and the year-to-date view. Revenues above previous year's levels with benefits from the TLTRO offset by other models. And despite the ongoing drag from the rates environment. The operating results improved to €570 million due to better revenues and a significantly lower risk result. The net result reflects the €976 million restructuring charges. We have booked fully implementation of our strategy 2024. As quarterly results have been strongly affected by one-off bookings, we have broken down the effects on Slide 10. As mentioned, the quarter was overall negatively impacted by one off events and aggregate, they reduce the underlying operating result from €208 million to €32 million. The one off can be separated in two buckets. The first is the usual exceptional revenue items that add up to minus €22 million. TLTRO benefits of €42 million for more than offset by the €66 million provision for the German Federal Court of Justice ruling on fee changes, where we will have to reimburse some fees to our customers. The second bucket contains three significant one offs in the underlying result, adding up to minus €154 million. The positive side CommerzVentures has contributed €101 million and on the negative side and been increased reserves for Swiss franc loans by €55 million. And as mentioned, we have also booked a onetime write-off of €200 million for the stock of the securities settlement outsourcing project. And in addition, we have booked a double digit million provisions associated with the write off that have not separated this out. Let's jump over Page 11 was the exceptional revenue items and quickly look at Slide 12 on CommerzVentures. CommerzVentures continued to contribute to revenues. The IPO of the portfolio investment company Marqeta has led to the revaluation of our holding. We have not taken the full valuation in the Q2 results, but have applied a prudent discount to reflect the fact that we currently cannot sell our spec. And also, the increased valuation of bought by many following a funding round has contributed. But obviously uncertain, and setbacks always a possibility we expect further upside in the second half of the year. And given our good experience and track record, we plan to continue investing in startups as the most likely increase the funds made available to CommerzVentures by setting up a third fund. We will report on the progress in the next quarter. Slide 13 gives an overview of the restructuring charges. We booked 511 million in Q2, slightly lower than originally anticipated as we have not yet fulfilled all formal requirements to book the restructuring charges and some forward locations. The majority of the remaining around €170 million will be booked in the second half of the year. Slide 14 shows the overall group P&L was revenues by line item excluding exceptional revenues. The impact of one of items is especially visible and other income and the operating expenses. I will cover NCI and NII in more detail on the next two slides starting with net commission income PSBC Germany and also mBank have strongly increased commission income by overall 14% year-on-year. This has been driven by the strong securities business in Germany by trading volumes have not as high as in the exceptional first quarter, securities and custody have significantly increased. Commission income and corporate clients is slightly lower due to a slower bond and syndication business, and also the payment business is still affected by the pandemic. This leads us to NII and slide 16, where we show the underlying interest income excluding TLTRO benefits. As expected, underlying NII has been on the same level as the previous quarter, and PSBC, NII growth and mBank and loan growth in Germany have offset the drag from deposits. German loan margins have been broadly stable for both private and corporate customers. Lower volumes and corporate customers in line with our strategy have led to a slight decline in NII. For the rest of the year, we continue to expect the underlying NII excluding the TLTRO benefit to remain roughly at the current level. Let's carry on with costs on Slide 17. We managed our operating expenses in line with our full year target. Are we continued to invest in our digital transformation, spending around €270 million of the plan €600 million in 2021 in the first half, we reduced administrative expenses. We kept the burden from compulsory contributions on the level of last year by using payment commitments to compensate for higher contributions due to deposit growth and the Greensill Bank insolvency or the operational cost management delivered as planned. We had to book the unforeseen one time write off of €200 million due to the project termination. To be absolutely clear, this was a burden on the 2021 cost base. But it will not impact our strategic cost measures and midterm targets. Let's move to Slide 18 and the risk result was €87 million. The risk result is the lowest since the start of the pandemic, and reflects the resilience of our loan book was largely stable writings and a low number of defaults in the quarter. This is also clearly visible and the cost of risk on loans, which stands at a low 18 basis points in the first half. Why the first top was clearly very encouraging. The trajectory of the pandemic was a still unknown effect of the virus variance, and the possibility of a force base later in the year cannot be predicted with certainty. An increase in pandemic driven defaults can't be ruled out for the second half of the year, or possibly next year of the government support measures have ended. Therefore, the €495 million top level adjustment remains unchanged. We will continue to review the top level adjustment quarter-by-quarter. Now let's carry on with the operating segments. And let me start with private and small business customers on the next two slides. We have continued to see a strong increase in securities volumes by €11 billion in the quarter of these €3 billion were net new money invested in securities. So the trend that Germans invest more in securities continues and should continue in an overall friendly market environment. Mortgage volumes also continue to increase in the quarter at a steady pace and as planned. In contrast, the consumer finance business has been flat. Given the still high savings rate due to the pandemic, we do not expect a significant change in customer behavior in the near term. And the deposit business we have made good progress in the quarter, we managed to reduce the overall volume of deposits and increase the volume of deposits subject to pricing to €13 billion. So far, we have signed agreements for deposits above €100,000. From August 1 deposits above €50,000 from new clients will be priced. We will also apply this threshold to new agreements specific existing customers. Deposit pricing has helped to somewhat with use the ongoing direct from deposits, but it's not enough to fully compensate for the effects from the interest rate environment on deposit related income. Overall, we expect the contribution from deposit agreements to be around €50 million in 2021. As Manfred mentioned, we are currently obtaining active consent from our private customers to our fee structure as required by the German Federal Court of Justice, ruling on changes in fees for banking services And this process takes time; we will not see the originally planned respective fee income this year. However, given the good overall development of customer business, we expect to reach our revenue targets for the financial year. This brings me to the performance of PSBC on page 20. PSBC reached operating results of €138 million, up nearly 30% year-on-year despite significant one off bookings based on stable customer revenues and low risk result. Looking at underlying revenues year-on-year, these were up by 3% in Germany, driven by the strong performance of the German securities business. This together with loan growth compensated for the drag from deposits. We also had some revenue attrition from customer churn as expected with the implementation of our strategy. So far, this churn has been lower than anticipated both in terms of number of customers and revenues last. The departing customers had on average not contributed much to revenues, meaning we have lost the right customers so far. mBank has also performed well in a challenging interest rate environment with underlying revenues on the same level as last year, excluding the addition of legal reserves for Swiss franc mortgages. The addition of 55 million to mBank legal reserves is mainly driven by higher than expected new court cases and changes in loss levels in case of mBank losing cases. The setting of the protest Supreme Court on Swiss mortgages that have been scheduled for early September will be important. We hope this will bring more clarity and are lower mBank and the whole Polish banking system to establish a workable solution. Now let's move to corporate clients on the next two slides. In corporate clients, we have continued our active portfolio and RWA efficiency management. While volume submitter stands have slightly increased reduced volumes with international corporate’s in line with strategy. This has led to an increase of the average RWA efficiency to 5%. And the next quarters we do not expect a further improvement in RWA efficiency, as there are some adjustments to the regulatory models included from trend. By lower volumes in line with strategy reduce credit risk RWA, this was offset by high RWA resulting from model adjustments. As the first changes only came became effective at the end of the quarter. They did not yet have a notable impact on the average RWA efficiency. And the deposit business we have seen a strong increase in volumes from our customers. The increased volume has been fully priced, thereby ensuring no negative impact on profitability. We currently charge our corporate customer 50 basis points. While we partially charge higher rates to institutional clients. We are planning to also introduce higher rates for large corporate deposits beyond our officials to ensure that these deposits are not a drag on P&L. Overall, we expect to see the contribution from pricing to increase from around €150 million in 2020 to around €200 million this year, offsetting our costs to hold these deposits. Underlying revenues around 4% lower year-on-year. This was mainly due to lower revenues from international corporate’s in line with the strategy by Mittelstand could increase revenues by 3% with revenue contributions across all product areas. There's a significantly improved risk result and lower costs, corporate clients reached an operating results of €244 million. Let's move to Slide 23, the development of Others and Consolidation. The operating loss of €349 million in Others and Consolidation is driven by exceptional items. These are reflected in the fair value and other income line as well as the operating expenses where the write-off from the stop of the outsourcing project is booked. Where we had positive contributions from CommerzVentures to the fair value results these are asset by valuation effects largely driven by moves and basis spreads, reversing some of the corresponding gains from the first quarter. Other income includes the usual items like effects from hedge accounting, but also increased provisions. These provisions include related to the stop of the outsourcing project and potential tax claims for prior years. Based on the H1 results of minus €158 million and assuming that we can receive TLTRO benefits, as well as some contributions from CommerzVentures in the second half, an operating result of Others and Consolidation of around zero for the full year could be achievable. But of course, the result could also be affected by changes in valuations over the course of the second half. Let's move to Slide 24. And the risk-weighted assets quarter-on-quarter RWAs were overall slightly reduced. This is driven by reduced volumes with corporate clients; the reduction has been partially offset by increases at mBank and regulatory effects operational risk RWA increase due to changes in the loss database in the next quarter we expect to further increase. As mentioned before, we also anticipate a regulatory driven increase in credit risk RWA from TRIM and adjustment of models. Regulatory capital decreases slightly mainly due to the net loss. Overall, the CET1 ratio remained at 13.4% and provides us with a comfortable buffer of 400 basis points to MDA. Now, let me wrap up the financials of the quarter. Q2 was burdened by one of the emphasis clearly visible and the results. At the same time, the underlying business and strategy implementation have developed well, and this is reflected in our outlook on Slide 25. Based on the premise that there will be no extra ordinary burden from Swiss franc mortgages in the course of the year these are our updated objectives and expectations for 2021. Given the strong first half results, revenues were slightly exceed the 2020 figure. But further progress of the transformation, we maintain our target of an operational cost base of around €6.5 billion. In addition, we have the €200 million onetime write-offs booked this quarter. Well, uncertainty of further development of the pandemic remains based on the current observations, and assuming an unchanged top level adjustment, we improve our guidance and expect a risk result below €1 billion. This assumes that the current wave of the pandemic will not have a further adverse effect on some sectors. Given the aforementioned, we expect a positive operating result based on the first half result, and considering the expected regulatory driven RWA increases at CET1 ratio of 113% is likely. Thank you very much for your attention. Manfred and I are now very happy to take your questions.
Operator: [Operator Instructions] And the first question for today comes from Benjamin Goy, he's calling from Deutsche Bank, over to you.
Benjamin Goy: Yes, hi. Good morning and two questions please. One on mBank and one on fee Government mBank. I think it's called for your 2024 guidance, and in particular on the revenue growth. So I wasn't wondering whether when we get more details on how the €600 million is split. And ultimately, you could comment on these press reports in June that it might not be core going forward anymore. And then secondly, on fee and you mentioned the temporary impact from the from the active content, maybe you can quantify it and how to end staying with fees. Retail brokerage, it's up 12% in the first half year and you can give us an indication, how this looked Q2 versus Q1 in terms of growth rate. Thank you.
Bettina Orlopp: So thank you, Benjamin, I thought was mBank. I mean, if you look on the numbers and you need to keep in mind that interest rate environment in mBank looked very different at the second quarter of 2020 because the sharp decline basically happened in the second quarter in Poland. I think they have shown very good results and they continue this trend in the moment they see strong growth on across their customer groups across old product groups, and that's also the basis for their assumptions until 2024. And this is basically also based on the customer base, they have a very young one growing one. So it's gross across the group and that at a very low, custom [indiscernible] ratio. So overall, we’re very confident that they will achieve targets, specifically because there are clear signals, given inflation and Poland, that there will be interest rates and increase this earlier than you would expect for the rest of Europe that's on mBank. On fees, I mean, we now booked on the provisioning of the €66 million that's definitely backward looking and also take into account, the fees on which we have now booked and will be will rebook them to our clients since the ruling and end of April, you will see a level I mean, we miss this year alone, double digit revenue and we will see a double digit revenue impact on that, because we assume that we will only see that the price model increases next year. However, given the overall very good customer business development, we will stick to our revenue plants in private clients.
Benjamin Goy: Thank you. And just quickly on the retail brokerage fee, plus 12%, but I assume some slowdown in Q2, can you contrast the developments here? So this was Q1?
Bettina Orlopp: Yes, I mean, we said that already after Q1 that we should – nobody should expect Q1 to be repeated because it was exceptionally high. I think it's better and more fair to compare your net commission income and private clients with the previous quarters and also Q2 2020. And there you see that we have a continuous trend of increased net commission income, regardless whether you take Q2, Q3, Q4 of 2020. So Q1 2021 was clearly an exceptional, but we see strong growth in the securities business.
Benjamin Goy: Awesome, thank you.
Operator: Thank you. The next question comes from Izabel Dobreva. He is calling from Morgan Stanley, over to you.
Izabel Dobreva: Hello, good morning. Thank you very much for taking my questions. I have two of them. So my first question is on the corporate clients division. If I look at the net interest income in the division is down about 11% you're near and also the fees are down about 4% year-on-year. And I wanted to ask you how much of that is due to the restructuring program? I think that the capital markets they you quantified about €300 million of revenue nutrition. So of that amount, how much is in the run rate so far? If you can give us a number that would be very helpful. And then my second question is on capital return, capital is now solid at €13.5 million and you have taken the bulk of the restructuring charges. There is also the 500 million of top level adjustment in the back pocket. So with all of this in mind, what are your views of starting the capital return, early in 2022 perhaps in share buybacks? Are you open to it, and if not, what are the obstacles in your mind? Thank you.
Bettina Orlopp: So thank you Izabel. On corporate clients, I mean, as you write for this, this app, there are what you basically see the first effects of the strategy implementation. I mean, the distant is up year-on-year by 3%. That's exactly like planned and we would even like to see more. But we all know that management is still very cautious with respect to their investment programs. But we definitely are convinced that we will see some pickup, when we are even further through the crisis. Specifically internal for corporate’s has been down. There are two reasons for that. One is that, if you compare Q2 2020 was this year as quarter. We had a very strong bond issuance on quarter last year due to the pandemic and that has not been repeated this year. But then also it follows our strategy that we accept some locations that we accept certain clients was an insufficient RWA efficiency and that is specifically attached to international corporates. I think it's tough to say, out of the 300 million how much you see already? Unfortunately, probably not everything, given that the sale of our locations and the one down is still to come, so you will see more in specifically 2022, I would assume. And the second question capital return, I know 13.4% is a very nice number specifically, given that we now have booked nearly €2 billion of restructuring costs and still stick to 13.4%. Because that's exactly the number we had last year. And I know that this creates increasing questions about share buybacks, dividends, et cetera, but I think we should really make progress. First, on the restructuring and the transformation, we should show decent operating results, decent net income. And if this is the case in 2022, I'm pretty sure we will also start a debate on dividends and capital share buybacks.
Operator: Thank you. Moving on to the next question, next up is Jeremy Sigee who's calling from Exane BNP Paribas, over to you.
Jeremy Sigee: Thank you. Two questions, please. So the first one really just following on from the previous one about capital, I just wondered if you expect any change in capital requirement after the recent stress tests and the possibly heavier pillar to PTG [ph] requirements? Following on from that and probably your results in the stress test? And then second question on a different topic, operating costs. If I look at the costs in the divisions, you're up slightly in PSBC, and you're down quite nicely in CC corporate clients. So I just wondered if you can put those developments on costs in the divisions in the context of your medium term plans. Are you happy with the underlying reductions that you're achieving, relative to your medium term plans? Are you ahead of plan in corporate clients that look like quite a good number? So if you just talk about the cost trends and divisions, that'd be great.
Bettina Orlopp: Okay, let me start with the first question on PTG, you will have seen that, we have been classified for the second bucket, which means that PTG will be in the range of 50 to 200 basis points. In the moment, we do not say where we are, most likely that will change. But we'll see how things are developing. But I can assure you that we feel pretty relaxed on that and that we do not believe that we will be at the lower or upper end of this range. But I would rather expect something which is very nicely in the middle of that. On the second question operating costs, the costs are developing. Absolutely, according to plan and amendment, why is PSBC slightly higher. Two reasons for that we have seen interest increases, which just had an immediate effect. And the voluntary programs et cetera will only show off by the end of the year and return that. And the second thing is we integrated Comdirect and by the integration of Comdirect we saw first an increase in our related costs, because of the fact that employees of Comdirect were integrated in our tariff system to say like that tariff model of Commerzbank and that's the key reason that is also according to plan. We have shown clearly calculated that into our plans. And you will see the reductions also on the private client sites in the course of the next months and years. So everything really as we plan and we would expect that by the end of the year, we will most likely have already find solutions or have people left of more than 5000 out of the 10,000.
Jeremy Sigee: Thank you. And on the corporate client side it looks if anything better than expected is that real, is that recurring that lower cost level in corporate clients?
Bettina Orlopp: I mean ultra corporate clients that and has clear targets and there are a little bit ahead of plan. And we hope that this will continue but we should also keep in mind that some of the cost items you would normally see in corporate clients are little bit depressed and due to the pandemic travel costs and stuff like that. But overall, they are very satisfied with the development of the costs and corporate clients.
Jeremy Sigee: Okay, thank you very much.
Operator: Thank you. Next up, we have Nicholas Herman, calling from Citigroup. Please go ahead.
Nicholas Herman: Yes, good morning. Thanks for taking my questions. Three from me, please, One NII reference obviously, do you mind just providing a breakdown of outlook by division PSBC, Germany and bank corporate clients and then see. Secondly, your [indiscernible] your portfolio. So with all of your efficiency, less than 3%? That's ahead of your target for – continue pushing that down this year.
Operator: Mr. Herman, I'm afraid we didn't quite catch most of the question that because of your connection, could you repeat your questions, please?
Nicholas Herman: Hello. Can you hear me?
Bettina Orlopp: Yes, it was tough to understand you Nicholas. I think the first question I got it's the outlook by division on NII. The second one, I think was an RWA efficiency bucket whether we believe that we will be even go come down further than the 31% we currently have end-to-end we use this share of less than 3% even further. So we just wait for your third question?
Nicholas Herman: [Indiscernible] appreciate that you want to see? [Indiscernible] would you be willing to disclose approximately what CET1 ratio you were expecting at the end of 2022 as part of the plan that you announced back in February. Thank you. That would be helpful.
Bettina Orlopp:
slowness : At the level we are currently and just because we have already surpassed the target for this year. How much become down? We'll see, definitely also depends on what's up for prolongation, things like that. And the third thing, a prediction on capital ratio end of 2022. Honestly, because I'm happy to give you and forecast for this year and we have seen we increased that to 13%. And I feel very comfortable on that. But I will not do any prediction on the capital ratio now for the end of next year.
Nicholas Herman: So just to clarify, it was more just in terms of the last question was more just as part of the plan, obviously, the world is different. Now, I'm not asking for your current prediction. It was just kind of what was the previous prediction was?
Bettina Orlopp: The previous prediction was basically, I mean, we started to say that we would be this year around 12% to 13%. And then I mean, we always plan to have a full booking of the restructuring costs in 2021. Meaning that in 2022, we expected already a decent operating and operating results, but also positive, clearly positive net income, which would then also have a positive effect on the capital ratio.
Nicholas Herman: Fair enough. Thank you very much. That's really helpful.
Operator: Thank you. The next question for today comes from Anke Reingen, he’s calling from RBC. Over to you.
Anke Reingen: Yes, thank you very much. Good morning. Thanks for taking my question. Just firstly, on the cancellation of the outsourcing, I just wanted to make sure I mean, €200 million is not insignificant in terms of impairment that you stick to your original plan of bringing costs down on absolute basis, year-by-year, as you announced last year. And I think at the time you announced the 200 million in charge, you also talked about a legal provision and other income. I don't think you've specified this one as a one open, I just wonder if you can give us some board some indication? And then secondly, on the Court ruling, I mean, how does it work in practice? I mean, people need to accept the consent, is there a risk that it actually becomes more of an issue as it currently affects suggesting and does in terms of the benefit, you were indicating in your strategic plan last year, is basically part of the €300 million fee uplift you were indicating. But that's not only because of the higher fees, just if you can give a bit more indication about the potential risk, from the willing to your plan. Thank you very much.
Manfred Knof: Yes. Hi Anke. Yes, you're absolutely right; the €200 million is not insignificant. But I think, I had a very deep look into the project. And when we discussed that into the board in detail, and we found that it's better now to stop it. And to take a hit now also because of the changes that the, business is now stronger, and we feel comfortable to do it internally. But you're absolutely right. It has an impact on the cost base for this year. But operational, all our plans and transformation efforts are in plan and for the midterm. We are fully on plan also with regard to the cost. On the court ruling, you've asked them how is it really working? I mean, it's clear that the automatic increases is not possible. So we are now with the clients going from individual consent is a digital or in the branches in a one on one content. That's why it takes time. But I can assure you that we are already working and are in contact with our clients to negotiate an individual pricing model and to ask for the consent. And so far, the reactions of the customers are good. And for the large amount, it is not a problem for the customers to, yeah to agree on an individual consent on the pricing measures also offering new accounts.
Bettina Orlopp: And perhaps on your first question legally provisioning, yes, there is something embedded under other income. We didn't reveal that. I mean, it's clear then we if you end a contract as a partner, there are costs attached to it. And I can only say that it is a double-digit million amount and leave it for now and you will understand why? And on the second point, the €300 million uplift, which we calculated in our plans, this is still valid. I mean, it has as I said it has a short term impact this year, which is balanced out by better customer business overall and PSBC. But we expect that we will get the contents of the clients within this year and therefore there is no change of plans with respect to revenues and also revenue increases due to price model changes for the coming years.
Anke Reingen: Okay, thank you.
Operator: Thank you. Next up, we have Johannes Thormann who's calling from HSBC, over to you.
Johannes Thormann: Good morning, everybody Johannes Thormann, HSBC. Two follow up questions. And one other please. First of all one follow up to you how far is the competitive pressure and corporate business changing in Germany, as you and several other banks are exiting relationships, which you call unprofitable? Do you see an impact on your business margin or on the behavior of corporate’s in general or is the competitive landscape unchanged? Secondly, it's hard to come back on the BGA tooling, but do you actively ask for consent of the customer? Also, you want to fall back on usage consent, like other banks are doing in Germany? And are you thinking about additional price changes due to the recent ruling? And last but not least, what needs to happen to reach €1 billion risk costs as a I don’t know best case scenario? Worst case we never know. But what would also be needed to reach current or what should happen if we you maintain current cost of [indiscernible] this year? Thank you.
Manfred Knof: Okay. First, with regard to the landscape of corporate business in Germany, it's our strategy is absolutely clear, we go profitability first. And this is more important than growth. And that's why we're talking with our clients either on up pricing, up selling product. And this is clearly part of the Transformation Program also in corporate clients with regard to RWA efficiency and margin increase. Therefore, profitability comes first. And that's fully executed. On the Court ruling, yes, we are going only on individual consents. And that's what we're doing. And Bettina is now asking, is answering on the risk.
Bettina Orlopp: Yes, and there are no additional price changes in the moment and the planning. I mean, we just announced two price model changes, one for comdirect and one for Commerzbank. And we stick to that. For the time being on the third question with respect to the €1 billion, yes indeed, I mean, if it takes the first half with the €235 million, this is quite a way towards the €1 billion. This is why we will add lessons on the billion specifically, if you keep in mind that we have the top level adjustment of €495 million. But we stay cautious. We all know there is dead out there as lambda. We do not know how winter is developing. And we should also all not forget that government measures will end by end of this year. And we really need to watch out on that. And that might have some sectors are vulnerable and very exposed due to the pandemic and we just stay cautious. So there is a lot of upside. Also, I would say if you're an optimist on what's happening in the coming months, we just stay cautious for the time being and to keep our buffers where they are and then we are very happy to release the buffers if they are not needed.
Operator: Okay, thank you. We'll move on now to the next question, which is from Timo Dums, he’s calling from DZ Bank, over to you.
Timo Dums: Hello, good morning. Can you hear me?
Bettina Orlopp: Yes, yes.
Timo Dums: Thank you. So I've got two questions, if I may. So, first would be on. Can you lay down in the presentation that you expect further restructuring expenses of roughly €170 million by the end of 2022? Can you give us some indication of how these expenses will be spread over this period? This will be the first one. And the second question would be you mentioned in the press release that your customer satisfaction? Can you give us some more color on how you measure the customer satisfaction and is there any difference among the different brands and customer clusters? Thank you.
Bettina Orlopp: So the €170 million very simple, 140 we will most likely see in the second half of 2021 and then the 30 will be less days before 2022 and I’ll hand over Manfred.
Manfred Knof: I mean for customer satisfaction, have a user process of health checks we’re doing on a regular basis. So there's no change of what we did and it's consistent all over the bank in all areas.
Timo Dums: Okay, thank you. Is there any difference for instance among or between Commerzbank clients and comdirect clients, for instance maybe?
Manfred Knof: No method is the same.
Timo Dums: Okay. Okay, understood. Thank you.
Operator: Thank you. Moving on now to the next question from Hugo Cruz calling from KBW, over to you.
Hugo Cruz: Yes. Hi thank you for the time for questions. If I may 1 first on the loan loss provision €495 million over like, when do you have to decide on whether you're going to use it or release it? Then on the – can you give guidance for the TLTRO benefit for the second half, and also for the tax rate? And then finally, with the last results, you get guidance for 3 billion to 5 billion of RWA growth in the rest of the year? Can you update us on their guidance or their new guidance? Please. Thank you.
Bettina Orlopp: €495 million top level adjustment as an asset, I mean, if we can to be very honest, we will even put that on or yes, keep it for next year 2022 as a buffer, just to make sure that we have this buffer given that Government measures only end by December 2021. So we will see, we will review that quarter-by-quarter and evaluate the situation. On TLTRO I mean, we have now a volume of roughly €36 billion. The 50 basis point means you're talking again about more than €180 million of revenues. And we will book it according when we have achieved it on first share you will see in the fourth quarter this year. And that will be approximately €95 million. Tax rates very difficult guidance. I'm really to be very honest, I'm not giving any guidance on tax rates and because you all know that there's so many different effects impacting that set, it's very tough to predict. But I would say something is a slightly positive or slightly negative is probably the right assumption. And on RWAs I mean, we are now at 13.4%. We expect something around 13%. Why is that? That has to do that we expect specifically some changes in the RWAs, we will see some volume increases, hopefully. But also we will see some model changes, potentially that will lead to RWA increases. And we see TRIM, which is good for nearly a little bit more than a billion of RWA increase. That are basically some operating model changes. So, that are the key drivers for the RWA increase and at until the end of the year.
Hugo Cruz: Thank you.
Operator: Thank you. Next up, we have Riccardo Rovere. He is calling from Mediobanca, over to you. 
Riccardo Rovere: Good morning. Good morning to everybody. I hope you can hear me well. Three questions if I may. The first one is on the risk cost guidance that is more a conceptual one, before the guidance was arranged between €800 million and €1.2 billions, which was a fairly large range. But let's say the current of less than 1 billion is even more vague, I would say then it was three months ago Why and you should have now a better visibility. Now what does can you narrow down a little bit what less than a billion means because it could be 300, 700, 999 considering that we are in July, so seven months out of 12 are run out, so you should be in this position to have a better visibility than three months ago. And still related to that is the use of PLA somehow factor then, in the guidance you're providing or less than 1 billion or are you expecting to carry these amount this €500 million over till 2022 and then take a decision only in 2022. The other question I have is on – well is still on the guidance when you say, expectations are based on the assumption that there is no fundamental change affecting the Swiss franc loan portfolio at mBank. What does it mean? Does it mean that just packed that kind of pie 15 million of provisions every quarter, as we have seen so far, there's a mean zero provisions in the second half of 2021. What does that means total millions in, let's say, numerically? And last question over to have, is it possible for you to list, all the one offs that have affected this quarter? Because I don't think that is really clear, to the people that are listening to this call, we have the TLTRO, then we have Commerzbank venture TLTRO €40 million in positive, CommerzVentures €100 million positive, then you got €55 million mBank provisions on Polish affects loans, then you have an unspecified amount, if I understood it correctly, on the ruling of pricing models, then you have an unspecified amount on the provisions related to the outsourcing, then you have €200 million costs related to the outsource or cancellation of the outsourcing Is that all? Am I missing anything? Here anything you [indiscernible] wants to provide? If you do not want to provide numbers with related to the Court's ruling and so on? Did you be able to give us an idea what would be the profit before tax, if we excluded all these one offs in the second quarter? Thanks.
Bettina Orlopp: Okay, I'll start with the last one, Ricardo. If you just go on Page 10 of the Analyst Presentation there, we basically have done that and the €32 million of operating results is then turning into a €208 million operating results, if you exclude the these one offs is the only thing, the only puzzle missing in there is the one related to the provisions which we booked related to the stock of the contract with our outsourcing partner, and that we do not reveal. And clearly also, I mean, text and topics, et cetera. We also have not included in that. But that gives you I think a good guidance on the exceptional items on Page 10. First, I'm in the risk cost, first of all, I think it's important to say last time we sat basically it was and risk was less or equal to one bullion is likely what we now say it's definitely below one bullion. So I would say at least it's an improved guidance, I know that there is quite a bandwidth between first half €235 million and less than a billion. However, we always know that the second half specific to the fourth quarter is the longer one than the rest. So you always have higher LLPs also in total normal years, and you have in the first half of the year. That is something which gives you a guidance. And then as I said, it all depends also on what happens with some of the sectors just think about the travel sector, that is very much exposed to the pandemic. And we assume the less than 1 billion really that we can keep the €500 million. If we can't keep the €500 million, that's pretty sure, that the loan loss provisions will be reduced by this number. So that is the equation and we've feel an amendment given that, that the virus is still ongoing and we still don't know whether there will be a fourth wave that’s more comfortable and being a little bit cautious on that. But clearly as I said before, there is upside on that I'm pretty convinced. And the third question news – are the Swiss franc. Yes, what does it mean? the non-fundamental change, I mean, if we book as we have done some provisions because of changes in the incoming cases, et cetera. I would say that is very much covered by our guidance. If there is a total relief based on the 2 September, the ruling on hopefully the ruling on the September 2, then we will have a different story or if we need to do a large booking based on a potential ruling. So normal provisioning, I would say is included extraordinary either re-bookings or bookings are not included.
Riccardo Rovere: All right, thanks. Thank you very much.
Operator: Thanks. We'll move on now to a question from Jochen Schmitt, he’s calling from Metzler. Over to you.
Jochen Schmitt: Thank you very much. Good morning. Could you get a bit more specific on the tax provision, which you booked in other income? What's the order of magnitude? And also in this context, has this also affected the tax position, for example, because the provision might refer to interest rate payments on potential tax claim? These are my question. Thank you.
Bettina Orlopp: Yes, that's totally correct. You will also see a sentence on that and the interim report. I mean, there's a new ruling or guideline out and from the Minister of Finance, on [indiscernible] what we have done is, we have basically considered that in the text line was certain amount. And as you rightfully say, then there is always also interest rates, interests we need to basically provision for undetected claims, and that happens and other income and this has been reflected.
Jochen Schmitt: But sorry, for following up, you don't want to disclose the number for other income for the order of magnitude provision?
Bettina Orlopp: To be very honest, I mean, we now have the guideline out there. And we, we know that our tax authorities will apply that, but the discussions are ongoing. So we booked something just as and I would say cautious action. But we will definitely see what’s the final number is, when we concluded the discussions with tax authorities.
Jochen Schmitt: Thank you.
Operator: Thank you. The next question for today is from Jun Yang, he's calling from Barclays, over to you.
Jun Yang: Hi, good morning, hope you can hear me. Okay. I have two questions. The first one is inbound. So based on the inbound disclosure, I can see that the Court case number has been increasing by 20% each quarter over the last few quarters. And just want to understand, what is your kind of assumptions in your provision guidance, current provision level on the number of case in the future? And then when – how should we think about the entire fund out of Court settlement versus no quarter cases? How much different is that? And then the next question is on the restructuring, if I hear correctly, you mentioned about 5000 HTE [ph] could be -- an assignment contract or voluntary contract with you on a payable and how just want to understand what is the impact coming off less than impact from these reduction ways are going to come through in the future or this year, or next year. And a touch to that, I just want to understand on the branch closure. You mentioned the custom leaving you, that no change too much of your revenue but just want to understand is there any further own, we have been a bunch of like closure into the future and how much is in this year number and how much is the next year and a has there any change of your financial guidance into 2022? Thank you.
Bettina Orlopp: Okay on the ruling, what we have done is basically we have the model and the name and where we take the incoming cases. We then make an extrapolation also for the future based on the incoming cases. We then also take the size of form of damage or decision plus also our win, loss rate into a calendar and that we reviewed together with our auditor, quarter-by-quarter and what do you have seen in the last quarters that indeed on court cases have increased and therefore we have also increased provisioning we would expect, if there would not be the ruling now anyhow, on the second of September, that’s court cases would probably slowdown because specifically the rulings end of April and beginning of May, which we have seen, were rather encouraging for the for the banks. But these type of processes are always started, like three months before, so you always have a time lag and until you see certain decisions also unfolding in the number of cases. But we feel pretty much based on current rulings, et cetera that we have the right level of provisioning. On the impact on what we have now already done today on the restructuring. I mean, we have, we set that we now have settled, basically agreements with more than 3400 employees, that doesn't mean that they are leaving right away. Some have left already; some will leave until the end of the year. But we also have this part time retirement programs in there, and some will just leave in 2022 or 2023 or even 2024. So you will see the impact in the coming years, it's different to the voluntary program which we have just started and launched with the 1,750s because there we expect that all of the people who signed this voluntary agreement will leave by the 1st of January 2022, meaning you'll see the full impact of the 1700 in the 2022 cost baseline. And the last question on the branch closures. I mean, we see churn, that's for sure. But it's not as high as we have expected. And we will also see further churn in the coming months and years. But this is what we have basically assumed in our plans. If we remember we had a 300 million churn, negative revenue impact due to churn.
Operator: Thank you. In light of the time, we'll move on to the last question for today from Tobias Lukesch calling from Kepler Cheuvreux, over to you.
Tobias Lukesch: Yes, thank you very much for taking my question as well, I'll be quick, just focusing on one big issue, which is the stop of the outsourcing of the security settlement process. If I read your press release, it pops to me that you are highlighting the risk, basically of the complexity of the issue and then saying, more or less and yes, we can do it ourselves, and it will be profitable. So first, like my question basically is twofold, so a -- what is the risk near also for the rest of your system landscape on IT wise? Is there any further risk visible i.e. higher IT investment requirements, further write offs in other segments and secondly, going for this possibility arguments. I would have assumed that with higher volumes, i.e. lower marginal costs, and you would even more benefit from an outsourced IT landscape with HSBC. So my question here is, if you go through the in-house solution now, what kind of profitability would you expect on the level expectations or volume expectations that you have? And secondly, what kind of margin then do you expect from the business? Thank you.
Manfred Knof: Yes, just the opposite for us now, with the higher volumes, it's better to have an in-house because we have the economies of scale here. And yes, and for any other things I mean, this is a total hypothetical question. When we're pushing our transformation, we're measuring our initiatives and projects and okay, as you've seen, we are not afraid of taking painful decisions, but it's a total hypothetical questions and that's not…
Tobias Lukesch: It’s not hypothetical in the way that I asked for any visibility in the short term. Is there any additional IT investment requirement? Is there further write off potential in other segments? It's not the hypothetical in three years. It's really what you see now, should we factor anything in for H2 or is that just another quarter? Like we have seen that with Commerzbank for years, basically?
Manfred Knof: I mean, there's nothing what pops out right now what we've seen. So we have a review of all the initiatives and projects we undertake in the board very much into detail and this was the one project which popped up. And there's not more to say than all the others. I mean, this is one project where we found this is necessary to do and we have all other initiatives and projects, always under review. And yes, so I think what we can say is that we are fully in the plan and of our expectations, and the transformation is on plan and, this is all what we can say now.
Manfred Knof: Yes, thank you. Since this was the last, the last questions, I would say thank you very much for your positive participation in this call. So we are looking forward to our future interactions virtually or hopefully in persons sometime. Wish you all a nice day and good summer vacation and thank you very much and bye-bye.